Operator: Good afternoon. My name is Donald and I will be your conference operator today. At this time, I would like to welcome everyone to the Warnaco Group first quarter 2008 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer period. (Operator instructions) It is now my pleasure to turn the floor over to your host, Deborah Abraham. Ma'am, you may begin your conference.
Deborah Abraham: Thank you. Thank you for joining us. This afternoon, Joe Gromek, Warnaco's President and CEO will provide a brief business overview; Larry Rutkowski, our CFO will review the financials and update our 2008 guidance; and our Group President will take you through some segment highlights. Following our comments, there will be an opportunity to ask questions. Today's comments are based on Warnaco's adjusted results on a continuing basis, which excludes the results of the swim brands to be discontinued, pension income, certain task related items, including the non-recurring tax charge related to the repatriation of proceeds from the sale of Lejaby and restructuring expenses. The company believes it is important for users of the company's statements to be made aware of the adjusted financial information related to the company's income from continuing operations as such measures are used by management to evaluate the operating performance of the company's continuing businesses on a comparable basis. A reconciliation of actual results to the adjusted results is available in the schedules accompanying today's press release. Additionally, as in the past, our Group Presidents will discuss as adjusted segment operating results, excluding the allocation of shared service expenses. These allocations can be found in the tables attached to our earnings release, as well as in our Form 10-Qs and 10-K. Finally, today's call may include comments concerning Warnaco Group business outlook and may contain forward-looking statements. Any forward-looking statements and all other statements that may be made on this call that are not based on historical facts are subject to risks and uncertainties. Actual results may differ materially. Information concerning a number of factors that could cause actual results to differ materially from the information that will be discussed is available in Warnaco's filings with the SEC including Warnaco's Form 8-K furnished today. Now, let me turn the call over to Warnaco's President and CEO, Joe Gromek.
Joe Gromek: Thanks, Deborah. The year is off to a strong start. Our long-term strategies to grow our Calvin Klein businesses, extend our geographic reach, and expand our direct to consumer platform were clearly working in the quarter. Our diversified global business model defined and powered by the continuing strength of the Calvin Klein brand has proved especially successful in a challenging domestic market. International operations generated better than expected results, fueled by organic growth in all geographies as well as currency gains. Calvin Klein revenues were up 31% to $400 million with increases reported across all geographies, distribution channels and categories. During the quarter, we completed the transfer of the Calvin Klein collection business to Phillips-Van Heusen, while acquiring several new Calvin Klein licenses. We have solid plans in place to develop these new categories and continue to see a meaningful long-term revenue opportunity from these additional rights. We also continued our international expansion with international revenues climbing to over 54% of the company total. While U.S. sales were essentially flat, each of our international regions posted double digit revenue gains with strong contributions from Europe and Asia, which were up 41% and 39% respective. In Latin America, revenues rose 52% as we acquired a majority stake in our Brazilian joint venture. We remained focused on further developing our global footprint as we extend the powerful Calvin Klein brand into the remaining white space and continue to believe we have the opportunity to double our Calvin Klein business over the next five years. Our direct to consumer expansion remains on track. During the quarter, we added 21 new points of distribution. At quarter end, we operated 762 shops in our direct to consumer channel around the globe. Comparable store sales grew by over 11% in the quarter. In addition to Calvin Klein Underwear and Calvin Klein Jeans stores, we have also opened our first Calvin Klein accessory shops in Hong Kong, China and Korea, and look forward to further expansion of this concept in Europe and Asia. We are also pleased with our core intimate brands, Warner's and Olga. They delivered double digit revenue growth and improved margins for the quarter. While Chaps revenues were flat, profitability continues to improve. And although swimwear was impacted by the actions we took in 2007 to exit own manufacturing, we expect our initiatives will improve profitability later this year. We believe our powerful brands and diversified global business model leave us uniquely positioned to continue to drive profitable growth and enhance shareholder value. Our performance to date and our confidence in our prospects for the balance of the year support today's decision to increase our revenue and earnings per share guidance. A final comment, for those of you who have followed us for some time, beginning this Thursday, Warnaco is listing on the New York Stock Exchange and will trade under the symbol WRC. Now, let me turn the call over to Larry to review our first quarter results in more detail. Larry?
Larry Rutkowski: Thanks, Joe. First to help you better understand our reported results, I want to highlight a few key items. The first quarter comprised 14 weeks compared to 13 weeks in the prior year period. The additional week accounted for approximately $23 million in net revenues. Foreign exchange contributed approximately $27 million to net revenues and $3.9 million to operating income. We also had a couple of one-time items which affected the quarter. We incurred approximately $21 million of restructuring expense or $0.44 per diluted share primarily related to the previously announced transfer of the Calvin Klein Collection business. Additionally, our tax provision in the quarter includes a $19.5 million non-recurring and substantially noncash charge utilizing a portion of our over $300 million of NOLs. This is associated with the repatriation of the proceeds from the sale of Lejaby. Now, turning to first quarter results, on an adjusted continuing basis, revenues rose 21% to $568 million. Gross margin increased 270 basis points to 45%. SG&A as a percent of net revenues rose slightly to 31% primarily driven by the mix in growth of our international and direct to consumer businesses. Operating income was $76 million compared to $52 million in the prior year quarter. Income from continuing operations was $46 million or $0.99 per diluted share, up from $33 million or $0.71 per diluted share in the prior year quarter, a 39% increase. Looking at the balance sheet, cash and cash equivalents at the quarter end rose to $138 million from $105 million as of March 31, 2007. During the quarter, we used approximately $44 million in proceeds from the sale of Lejaby to retire some of our outstanding senior notes. Net inventories at quarter end were $321 million, down from $381 million as of March 31, 2007, primarily as a result of discontinued operations. On a continuing basis, inventories were flat, a good result given our solid revenue growth expectations. As a result of the strong first quarter performance, we are raising our guidance. On an adjusted basis, excluding restructuring expense, certain noncash tax items and assuming minimal pension expense, we now expect our net revenues to grow 10% to 12% of the comparable fiscal 2007 levels and diluted earnings per share from continuing operations in the range $2.65 to $2.75. Now, let me turn the call over to Helen to discuss intimate apparel and swimwear.
Helen McCluskey: Thanks, Larry. Beginning with intimate apparel, positive momentum from 2007 carried over into the first quarter of 2008. For the quarter, revenue increased 22% and correspondingly operating income grew 34%, delivering an operating margin of over 22%. The fundamentals of our business remained quite strong. Our success in Calvin Klein Underwear continues. Revenue for the quarter was up 26% with increases in all geographies. Significant increases were realized in Europe, which grew by 32% and Asia up 50%. Our direct to consumer business, which is now over a quarter of our business, grew by 44% and importantly our comparable store growth was up over 10% in Europe and over 35% in Asia. Calvin Klein still continues to drive sales and is complemented by strong fashion offerings in both men's and women's. Our major news for fall is the launch of Seductive Comfort, our new women's bra initiative. We believe that Seductive Comfort will bring excitement to the bra category as Steel did in men's in 2007. The launch which consists of three new styles offering fuller fit, coverage and support combines extraordinary comfort features with the modern sophisticated aesthetic that is Calvin Klein. The launch will be supported by a significant marketing campaign featuring Eva Mendes. We are very excited to be working with Eva. She personifies the Seductive Comfort proposition perfectly and speaks to our broad appeal and diverse consumer base. To date, on a global basis, nearly 500,000 units have been booked and we believe there is much more to come. This launch is an important component of expanding our bra business as we move toward our goal of doubling revenue. We continue to be encouraged by our results on a worldwide basis and are optimistic that our strong trend from 2007 will continue throughout 2008. We are also very pleased with the performance of our core intimates business. With additional distribution and very strong results in the national chain, revenue for the quarter increased by 13% and operating margin improved by 410 basis points. Our new products have been very successful and have secured additional space on the selling floor. Today, we have 5000 more fixtures at retail than we did at this time last year, and both Warner's and Olga have gained market share based on results to date and a double digit increase in fall bookings, we believe that we are well positioned to meet and potentially exceed expectations for the year. Swimwear had a solid quarter with growth in revenue of 4% and operating income of 2%. Growth in the quarter was driven by Calvin Klein swimwear which increased substantially in Europe. Speedo revenue was comparable to last year. Operating margin at nearly 20% was impacted by our exit from owned manufacturing and the timing of favorable variances that occurred in the first quarter of 2007. This will not be as significant in subsequent quarters. At retail, the Speedo rate of sale is running slightly ahead of last year and competition, but retailers are buying cautiously. Following the general direction of U.S. retail, the 2008 swim season is off to a somewhat sluggish start, but the build up to the Olympics is sure to generate some excitement in the category. Our Olympic themed merchandise will be available in June and the press coverage of our Laser Racer has been outstanding. 37 of 39 world records have been broken to date in the Laser Racer confirming that we have built the world's fastest swim suit. We have gained share in the competitive swim segment which is a reflection of the strength of the Speedo brand and the innovation that we offer to that market. In the short term, we continue to focus our efforts on enhancing our processes and inventory management to improve our operating results. Over the long term, while our revenue growth expectations for Speedo are relatively modest, we believe there is considerable potential to continue operating margin improvement. 2008 should be a positive first step towards that objective. I will turn the call over to Frank to discuss sportswear.
Frank Tworecke: Thanks, Helen. The sportswear group continued its positive year-over-year revenue and operating income growth. First quarter net sales for the group increased 28% to $300 million and operating income increased 42% to $46 million, led by a 370 basis points improvement in gross margin. Beginning with Chaps, net revenues decreased lightly to $40 million while operating margin increased over 500 basis points to 12.4%. Margins benefited from lower markdowns due to strong product sell-through, sourcing benefits along with continued growth with our mid-tier retail partner. We continue to monitor and maintain appropriate inventory levels while providing our customers with quality trend right products. Turning to Calvin Klein Jeans, worldwide sales increased 34% to $260 million and operating income increased 39% to $41 million. All geographies at both wholesale and retail contributed to the gains led by strong performances in Europe and Asia. The retail segment gained 38% to $67 million as a result of comparable store sales increases of 13% along with new store openings. Wholesale business increased 33% to $194 million. European wholesale revenues increased by 46% led by double digit gains in Italy, Eastern Europe, Spain, and France, driven by growth in all product categories. The Jeans business had positive sell-through in white denim and long sleeve woven tops while the accessory segment is being driven by strong demand in handbags and small leather goods. Our Asian business continues to perform exceedingly well. Retail sales in Asia increased 35% over last year to over $50 million primarily due to growth in Korea and China. During the first quarter, we opened 90 new stores in the region with additional openings planned for later in the year. Our international Calvin Klein Jeans business now accounts for over 70% of total brand revenue. Despite a challenging retail environment, domestic sales increased by nearly 9%. The growth is coming from women's jeans category as well as the newly launched plus size department store business. At retail, we are experiencing increases in our denim category as light weight denim and dark finishes had positive sell-through along with woven shirts and screen tees. We are pleased with the results of the first quarter and especially our international performance. By leveraging the strength of our global brand, exploiting our business by geography and category, and growing our direct to consumer channel, we believe we can maintain the positive momentum in our business. Now, let me turn the call back over to Joe.
Joe Gromek: Thanks, Frank. That concludes our prepared remarks. Operator, we are ready for the question-and-answer session now.
Operator: (Operator instructions) Our first question is coming from Todd Slater. Please go ahead, sir.
Todd Slater – Lazard Freres & Co.: Thanks very much and good evening. Congratulations, everyone.
Joe Gromek: Thanks, Todd.
Todd Slater – Lazard Freres & Co.: Just starting with the guidance both on the revenue and EPS, with ForEx benefit obviously on all the flowing through the whole quarter, how much of the ForEx benefit or detriment have you assumed in your annual number for the next three quarters on the EPS and revenue line?
Larry Rutkowski: Well, Todd, this is Larry. In terms of ForEx benefits, we picked up $27 million of benefit in the first quarter. In the remainder of the year, we also currently are projecting that there is a benefit given where the euro is currently trading and also some improvements in select other currencies, the Canadian dollar and also the RMB. In terms of that, we are projecting a sizable improvement in the rest of the year so that we are continuing to show this type of benefit in future half of the year or slightly more than that. Does that help?
Todd Slater – Lazard Freres & Co.: So, this type of benefit in each of the next three quarters?
Larry Rutkowski: No, not in each, be careful. We are showing slightly more than the $27 million that we have shown in the first quarter in the remaining three quarters of the year.
Todd Slater – Lazard Freres & Co.: I see. So, clearly less going forward on a quarter?
Larry Rutkowski: For each quarter, that is correct.
Todd Slater – Lazard Freres & Co.: Much less, okay. And then, could you just go over a little bit what the annual tax rate looks like now with the NOLs, remind us how big the NOL is and how that impacts the P&L? Thanks.
Larry Rutkowski: Sure. The NOL at the end of the year was $339 million. One of the things we mentioned is that we had a one-time charge regarding the repatriation of Lejaby proceeds back in the first quarter. If you put that aside, our continuing tax rate, we are expecting to remain in that 26%, 27% on a normalized basis.
Todd Slater – Lazard Freres & Co.: Okay. And then I just have a quick question for Helen and congratulations to you too especially. 5000 more fixtures at retail and profitably 410 basis point increase in operating income it sounds like in the core intimates fees. Could you talk a little bit more about the story there and are we approaching the upside in door penetration or sort of what the annualized operating margin potential is there looking forward? Thank you.
Helen McCluskey: Sure, thank you. I think both of those good results that you talked about, the 5000 additional fixtures as well as the improvement in gross margins are all related to the fact that our product in the marketplace right now is really performing at superior levels. So, we are really pleased with what the group has accomplished there. There was a good focus on improving our product, if you go back 18 months, 24 months ago, and it is really paying off for us right now. That is yielding us regaining distribution in some retailers that we have been out of for a number of years as well as expanded fixtures in existing retailers. So, both of those things are happening. We are gaining new customers as well as expanding with our existing customers and that is all based on the performance of the product which is also leading to improved gross margins. I think we will see some additional expansions in the balance of the year with existing retailers just based on the strength of the product that we are showing at market right now. And I would expect that would translate into improved operating margins.
Todd Slater – Lazard Freres & Co.: Okay. So, the 5000 fixtures translates to about how many new doors?
Helen McCluskey: Well, it is about 800 new doors, but it is a combination of new doors and expansion in existing doors. So those 5000 fixtures translate to about a million more units on the retail selling floor than we had at this point last year, which is about $10 million in wholesale for us. So it is 10% to 15% increase.
Todd Slater – Lazard Freres & Co.: Great, thank you very much.
Operator: Thank you. Our next question is coming from Jeff Klinefelter of Piper Jaffray.
Jeff Klinefelter – Piper Jaffray: Thank you. Congratulations to everyone on the team, great performance so far this year.
Joe Gromek: Thanks, Jeff.
Jeff Klinefelter – Piper Jaffray: First off, Larry, could you give us a sense here, the balance of your quarters, any updates at all on the flow of revenue growth, EPS growth, anything to keep in mind now on any shifting in shipments into the clubs or anything else that we should keep in mind as we model the balance of the year?
Larry Rutkowski: I think, Jeff, in terms of timing and the impact of each quarter from a normalized year, I think we have said that this year should be relatively normal. (inaudible) maybe a couple of million here or there, but it is relatively normalized. And as you know, beyond that we typically don't give quarterly guidance, so anticipate that as a much more normalized year.
Jeff Klinefelter – Piper Jaffray: Okay. And then going to international which has been a real stand-out performance, Joe, could you talk a little about the bookings, the visibility, et cetera? As you know, there have been a lot of concerns about the economic climate, business climate, and there are a lot of differences in terms of how those businesses operate, how they book, what kind of commitments they give you, mark-down pressure, et cetera. Could you talk a little bit more about what you are seeing and what kind of visibility you feel like you have in the second half of the year?
Joe Gromek: Sure. Currently, our business continues to perform very well at retail in most geographies around the globe. I think there is probably one exception to that with a slight slowdown in the Spanish market. Having said that, we feel very comfortable. Our own retail sales have been stellar as you can see with 11% comp store gain and the kind of growth we have been seeing. So, we feel very comfortable. We are up against a large launch of Steel last year in Calvin Klein Underwear on the men's side of the business and in fact, we have overachieved those bookings in Europe at this point in time. I think we are up about 10% over the Steel launch and remember, Helen just talked about Seductive Comfort on top of it. So, we believe that there is a significant plus there. So, all in all, we are feeling very comfortable at this point in time.
Jeff Klinefelter – Piper Jaffray: Okay, one last one on that one, Jeans and CK Underwear, the leverage that you have achieved in some of these European markets, any updates there on kind of success stories you want to share?
Joe Gromek: I'll just say one thing and pass it over to frank. As I mentioned, the Spanish market is, we are seeing some softness. That softness is versus a year ago where we have a highly developed Calvin Klein Underwear business. So the underwear business is flat, however, our Jeans business is running up I think, Frank told me this morning, over 50%. So I think the integration and the platform that we have put in place is really producing great results. Now, Frank, you could take him through the Jeans portion.
Frank Tworecke: On the Jeans segment of the business, our most developed business is in Italy which does a significant portion of our business given that it was – given the history of the business. Having said that, we have had over a 20% increase in Italy in the first quarter in business. We spoke last year about our business in Eastern Europe and the Eastern Europe business picked up over 34% in the quarter. We have had significant increases in all of our geographies in Europe in the Calvin Klein Jeans business and we have seen significant increases in our accessory business, here again, in all geographies. So we have two opportunities. We are getting comparable store growth, we are getting wholesale growth in existing channels and then we have a lot of new markets that we are getting into that are giving us an additional plus to our business on the international and the European market. Asia is going through the same growth pattern with China leading the way and Korea also having significant increases in the Jeans and accessory business.
Helen McCluskey: And I will add to that on the Underwear side where we are seeing great benefits from leveraging the Jeans success and strength as in Asia, in particular in Korea and China. Our Asia business is up 50% in the first quarter, so we are really pleased with the results there.
Jeff Klinefelter – Piper Jaffray: Okay, great. Congratulations again.
Joe Gromek: Thank you.
Operator: Thank you. Our next question is coming from Eric Beder of Brean Murray.
Eric Beder – Brean Murray: Hello.
Joe Gromek: Hi, Eric.
Eric Beder – Brean Murray: Hi. Could you talk a little about – a little more Seductive Comfort? I remember you mentioned on your investor conference that the orders were actually ahead of what you had two years ago when you rolled out the last bra line. Is that still the case in terms of what we are seeing in terms of advanced bookings for this bra line?
Helen McCluskey: Yes. The orders and what we were talking about in the conference was that the orders to date are ahead of where Perfectly Fit was booked at this time 2.5 years ago when we first launched that and we continue – obviously we continue to sell in their at 500,000 units substantial.
Eric Beder – Brean Murray: Wow. The other thing is accessories, could you kind of talk about what the top – as you draw down the (inaudible) accessories, what is kind of the top accessories you are seeing and is it – do you look upon it as a potential to raise margins even further as you get this more in depth through your stores?
Larry Rutkowski: We are really excited about the accessory business. If you remember, when we acquired our business, we talked about accessories being a hidden jewel in the business. It has clearly been that. Our revenue growth has been significant. We said that we would grow that business to $150 million within – over the next three to four years. We are on target to do that. Also as you know, the accessory business is a high – is a very gross margin business. And the – so we are very excited not only about the revenue growth and the margin opportunity, but also as Joe spoke earlier, we have also acquired the rights from – we have also acquired the rights to expand that business at retail in Asia, Europe, and the Americas. So, we are really very excited about the business at wholesale, we are very excited about the new rights at retail. And from a category perspective, we are doing very well in the handbag category, exceptionally well in some of our leather goods category in both in men's and in women's.
Eric Beder – Brean Murray: Great and last quickie. I know that one of your competitors has just won the Donna Karan intimates line, which you used to carry. Did you – is that a material part of your business, is that something that you are going to feel you are going to miss or want to do it?
Deborah Abraham: Eric, this is Deborah. I believe that there was a mistake on that call. Warnaco did not have the Donna Karan business. I think it was (inaudible) that had it and there is an error in their transcript.
Eric Beder – Brean Murray: Okay, I apologize. And again, great relations on a great quarter.
Joe Gromek: Thank you.
Operator: Thank you. Our next question is coming from Carla Casella of JPMorgan.
Gustin Haley – JPMorgan: I'm Gustin Haley [ph] for Carla Casella. I would like to ask, are there any restrictions on your ability to buy back additional bonds?
Larry Rutkowski: Well, in terms of our ability to buy back addition bonds, just a key point, first of all, we have the right to call come middle of June those senior notes. So we are free to purchase those. There are restrictions in our other debt that make sure that we are achieving covenant fixed charge ratios and interest charge and the like. We should not have any of the revolver drawn to be able to repurchase any of those bonds.
Gustin Haley – JPMorgan: Okay. Are you going be putting out quarterly restated financials for the remaining three quarters of 2007 and the next coming year?
Larry Rutkowski: I am confused by the question. In terms of the numbers we provide the disclosure, but there is not a restatement of that.
Joe Gromek: Going back to 2007.
Larry Rutkowski: Going back to 2007? We provided that disclosure in the Q which will be filed shortly. That gives you what our continuing – I assume your question is the disc ops out of each historical and that will be adjusted. You will see that reflected in the Q.
Gustin Haley – JPMorgan: Okay. So similarly in your next quarter's filings, you will have the restatement for Q2 '07 like you will do for 1Q?
Larry Rutkowski: That is correct.
Gustin Haley – JPMorgan: Great, thanks.
Operator: Next question is coming from Brad Stephens of Morgan Keegan.
Brad Stephens – Morgan Keegan: Good afternoon and congratulations. Larry, the other expense of $5.4 million this quarter, can you break that down for us?
Larry Rutkowski: Sure, I think the largest component of that is that we use the proceeds from Lejaby sales to acquire approximately $44 million of the senior notes. There was over a $3 million charge associated with the deferred financing and such and the accelerated premium we paid to buy those out. The other piece relates to foreign exchange both on our inner company agreements across the (inaudible) we use to hedge.
Brad Stephens – Morgan Keegan: Okay. So the foreign exchange hit will probably be ongoing the remainder of the year?
Larry Rutkowski: Depending on what happens to the volatility on the foreign exchanges contracts.
Brad Stephens – Morgan Keegan: Okay, great. For modeling purposes going forward, you did recognize a 14th week this quarter. Can you give us an idea what the SG&A impact was?
Larry Rutkowski: What we provided, Brad, is the fact that we did $23 million on that 14th week, which is tied into retail sales and replenishment. We have not provided anything below that, but I think that you could run a normalized retail piece on that – retail replenishment at blended SG&A.
Brad Stephens – Morgan Keegan: Okay, that's great. And then last, your payables are up substantially but I know a lot that has to do with how you recognize the payment terms in the international businesses. Can you break down some more color on the payables balance?
Larry Rutkowski: In terms of the overall payables, we are up, as you point out, approximately – it is payables and accrued liabilities. Part of that is the timing issues related to such and how we accrue for such. Part of it is that the terms – we are just paying in accordance with terms, we are making sure we don't pay ahead of time. So, it's a flow of goods in the timing of such.
Brad Stephens – Morgan Keegan: All right, congrats guys.
Larry Rutkowski: Thank you.
Operator: Thank you. Our next question is coming from David Glick of Buckingham Research.
David Glick – Buckingham Research: Good afternoon and another congratulations to the team. Frank, I was wondering if you could give us more color on the denim business domestically. I know that moving up the average price point, you were getting momentum on that initiative. I'm wondering if you are still seeing solid demand at the better price points at the Calvin Klein men's and women's jeans, and then also maybe a little color on the men's business, you said that clearly women's was strong. And then finally, some sense of how your fashion bookings were for fall in denim.
Frank Tworecke: I will start with the price points. Our initiative on moving our price points up a notch into a different zone, we started that process in the women's business. And the response has really been very positive. We followed that by doing the same in the men's business and we won't get a better read on that as we've been shipping that into the third quarter. Right now, we are very pleased with the results we have seen at retail in the U.S. market. As far as technology men's versus women's business, women's clearly led the charge in the quarter, although the men's business was relatively flat for the quarter. Given the economic environment we are in, typically the men's business tends to have a more profound – the economic environment tends to have a more profound effect on the men's business. So we feel that our flatness [ph] was in the men's segment, was not exactly where we wanted it to be, but was really in respect to market share we felt we held our own. The third question you asked was relative to bookings to the third quarter. We booked our third quarter department store business which was slightly behind our bookings for the first half of the year. Having said that, we have also seen a shift as retailers are beginning to move deliveries closer to point of sale. So we haven't booked holiday yet, but our indications right now is that we think that the bookings into the fourth quarter should make up the bookings that we had in the third quarter in the jeans business.
David Glick – Buckingham Research: Plus, replenishment is what, about half the business?
Frank Tworecke: Replenishment is about 30% of our business and that's still continuing at the same level, if not a little stronger than last year. Our replenishment business is primarily in the denim segment. The denim segment is over half of our business – it's coming close to half of our business and that business is really very strong right now.
David Glick – Buckingham Research: Okay, great. Thanks a lot. Good luck for the balance of the year.
Operator: (Operator instructions) Our next question is coming from Susan Sansbury of Miller Tabak.
Susan Sansbury – Miller Tabak: Yes. Thanks you very much. Good job.
Helen McCluskey: Thanks, Susan.
Susan Sansbury – Miller Tabak: I know you don't provide quarterly guidance, but are there any significant other charges and/or restatements anticipated in the remaining three quarters of the year? When I first read this press release, my jaw dropped open. So anyway, anything that you can discuss on a go-forward basis in terms of major restatements or restructuring or any additional charges associated with the sale of Lejaby?
Larry Rutkowski: In terms of the disclosure, there are nothing of this scale, what we took in the first quarter, in terms of restructuring, $21 million. Of that $21 million, we had disclosed that in the February 27 Form 10-K filing, at least the charge is associated with the Calvin Klein collection.
Susan Sansbury – Miller Tabak: That brings to the question, I thought you booked that last year, but obviously I was wrong.
Larry Rutkowski: No, unfortunately, the transaction was closed at the end of January and we had to book it at the time. We did mention it, as you pointed out, at the year end that we would be taking a write off for the collection.
Susan Sansbury – Miller Tabak: Okay, my mistake. Go ahead.
Larry Rutkowski: So, at this point, we are not expecting anything unusual. The one piece I will point out is that the designer swim, Nordica and Michael Kors, which are currently in operations will go into disc ops and there will be an adjustment for those, but we will take it out of the historical at the end of – targeted for the end of the second quarter.
Susan Sansbury – Miller Tabak: Okay. No guidance in terms of what effect that's going to have?
Larry Rutkowski: We actually break out the to be discontinued, which is really those designer swimwear products, so there is a bit of a road map.
Susan Sansbury – Miller Tabak: In the press release, which I haven't had a chance to read or the 10-K?
Larry Rutkowski: We do indicate in footnote. It is included in our disc ops in the press release that you can get to a normalized adjusted.
Susan Sansbury – Miller Tabak: Okay. I haven't had a chance. All right. Other question for the team. Going back to tremendous growth that's occurring outside the United States, other people are also taking advantage of it, other American if you will apparel companies, and I'm not necessarily referring to Levi's or people in the jeans business; I'm referring more to the fashion people. Are you running into any of these U.S.-based competitors, for example, guess, in some of these white space markets that you have been so successful in penetrating or where there are such substantial opportunities? Or do you feel that you are going – is that going to impinge on your ability to roll Calvin Klein out in the foreseeable future?
Joe Gromek: Susan, we always watch the competition very closely. But, at this point, we are comfortable and confident that the markets that we are pursuing, where we have been successful either independently or with partnerships, we are doing quite nicely. So we watch all the competitors, both the established European and Asian companies, as well as U.S. companies, and our product is standing tall at this point and the consumer is responding accordingly.
Susan Sansbury – Miller Tabak: Okay, that's great. I appreciate it. Thanks very much.
Operator: Our final question in queue is coming from Jeff Klinefelter of Piper Jaffray.
Jeff Klinefelter – Piper Jaffray: Up on sourcing, Joe or Larry, anyone who want to address it. But, with inflationary pressures, a lot of discussion about people moving around sourcing right now, could you give us an update on your activities there and in particular, as your Asian business grows, how are you handling your sourcing and any sort of import restriction in Mainland China?
Joe Gromek: Jeff, I will take a crack at part of this. In terms of our pricing, our prices for 2008 were locked in a while ago. So we feel that there is not much movement in 2008 for us. In terms of beyond, into 2009, we are seeing the inflationary factors. At this point, we believe it is in the 5% range. 14, 15 months ago, our team began an internal exercise called Project Elevate and within Project Elevate, there are two major components. One is PDM and the other the PLM – Product Development Management and Product Lifestyle Management. And the purpose of that was to in fact drive the efficiencies into our business, so that we would be able to maintain our cost prices and margins when things like this did occur. In fact, now, 15 months into the process, we feel very good about what has occurred and we believe we can make a significant dent into that 5% first cost price range. We also believe that with the Calvin Klein brand and the design that is going into that product at this point that there is a degree of elasticity and we think that there is a potential to slightly increase prices is there for us as well. On the country by country aspect, we are moving and we have more goods today in China than we did a year ago. It is somewhere in the 25% or slightly north of that range, up from 16% the prior year. And clearly, that is going to support the initiatives both in Asia and in Europe.
Jeff Klinefelter – Piper Jaffray: Okay. Thank you.
Operator: The Q&A of the call. I would now like to turn the floor over to the host for any closing comments.
Joe Gromek: Thank you very much for joining us this afternoon and we look forward to updating you on the second quarter results a few months from now. Have a great evening.
Operator: That concludes today's Warnaco conference call. You may now disconnect.